Operator: Good morning. My name is Anna, and I will be your conference operator today. At this time, I would like to welcome everyone to H.B. Fuller’s Second Quarter Fiscal 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Barbara Doyle, Head of Investor Relations. You may begin your conference.
Barbara Doyle: Thank you, Operator. Welcome to H.B. Fuller’s second quarter 2022 earnings call for the fiscal period ended May 28, 2022. Our speakers are Jim Owens, H.B. Fuller President and Chief Executive Officer; and John Corkrean, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will take questions. Before we begin, let me remind you that our comments today will include references to organic revenue, which excludes revenue from acquisitions and the impact of foreign currency translation on our revenues. We will also refer to adjusted non-GAAP financial measures during this call. These measures are in addition to the GAAP results reported in our earnings release. We believe these measures are useful in understanding our operating performance and how our results compare with other companies. Reconciliation of non-GAAP measures to the nearest GAAP measure is included in our earnings release. Unless otherwise noted, comments about revenue refer to organic revenue and comments about EPS margins or EBITDA refers to adjusted non-GAAP measures. We will also be making forward-looking statements during this call. These statements are based on current expectations and assumptions that are subject to risks and uncertainty. Many of these risks and uncertainties are and will be exacerbated by COVID-19 and the Russia-Ukraine war and resulting deterioration of the global business and economic environment. Actual results could differ materially from these expectations due to factors covered in our earnings release, comments made during this call or risk factors in our Forms 10-K and 10-Q filed with the SEC and available on our website at investors.hbfuller.com. Now, I will turn the call over to Jim Owens.
Jim Owens: Thank you, Barbara, and welcome to everyone on the call. We continued our track record of strong performance in the second quarter, delivering double-digit revenue and earnings growth. Organic revenues in the second quarter were up 22% year-over-year, adjusted EPS of $1.11 increased 18% year-over-year and adjusted EBITDA of $139 million was up 14% year-over-year. We also set a new quarterly revenue record, achieving nearly $1 billion of sales in Q2. H.B. Fuller’s revenue growth was strong in all segments, with each of the three global business units delivering mid-teens or higher organic revenue growth compared with the prior year. Sales also grew in each geography. Net revenue grew 25% in the Americas and 19% in Europe, India and Middle East. Revenues were up 7% in the Asia-Pacific region, reflecting the impact of innovation-driven market share gains, offset by the impact of the COVID-related lockdown in Shanghai. EBITDA dollars increased by 14% on a year-over-year basis and EBITDA margin improved by 80 basis points sequentially versus the first quarter. We maintained our strategic pricing rigor, which supported our margins by offsetting continued inflation in every element of our costs. Raw material and delivery costs were up in the first half of the year by about 15% from the fourth quarter of 2021. We expect raw material cost will continue to rise in the third quarter and full year raw material costs will be about 20% higher than the fourth quarter 2021 exit rate. We implemented approximately $130 million of pricing in the first quarter, over $200 million in the second quarter and we are delivering additional pricing actions of over $175 million in the third quarter. When combined with about $450 million of annualized pricing executed in fiscal 2021, our total pricing actions are forecasted to more than offset raw material and delivery cost increases. We are closely monitoring supply costs and other inflation, and we are prepared to implement further increases as necessary. Our second quarter performance again demonstrated our ability to consistently deliver outstanding operating results. During the quarter, we overcame the ongoing challenges of persistent inflation and supply shortages, which were made worse by the impacts of the war in Ukraine and the lockdown in China. We did this by focusing on innovating for customers, by pricing to value, and by leveraging our agile operations and our strong relationships with our suppliers. We are well positioned to deliver continued strong results in the third quarter and fourth quarter of this year as new challenges arise. Now, I will review the strong performance in each of our segments in the second quarter. Hygiene, Health and Consumable Adhesives second quarter organic sales increased 25% year-over-year, with strong growth in every end market and very strong results in health and beauty and across our packaging and labeling markets. HHC segment EBITDA was up 8% year-on-year, driven by volume growth and strong pricing gains, offset by higher raw material costs and unfavorable foreign exchange rates. We expect HHC organic revenue growth to continue at a strong pace for the rest of this year with pricing gains, driving sequential EBITDA margin improvement throughout the year. Engineering Adhesives topline results continue to be extremely strong in Q2, with organic revenue up 22% versus last year, reflecting share gains, solid volume growth and outstanding pricing execution. EA had double-digit organic revenue growth in most markets in the portfolio and exceptional growth in transportation-related markets, new energy, wood working and insulated glass. Engineering Adhesives segment EBITDA was up 19% year-on-year driven by solid volume growth and strong pricing gains offset by higher raw material costs. EBITDA margin of 14.7% was up 60 basis points sequentially from Q1 and increased 30 basis points versus the second quarter of last year. Like HHC, we expect Engineering Adhesives strong organic revenue growth to continue for the rest of the year, with pricing gains driving sequential margin improvement throughout the year. Construction Adhesives revenue was up 28% year-on-year and organic revenue was up 14% versus last year. This strong year-over-year performance was driven by robust organic volume growth in roofing and outstanding pricing execution in all markets. Construction Adhesives EBITDA was up 40% year-on-year. EBITDA margin of 16.1% was driven by strong roofing volume leverage, pricing gains and accretive results from the two acquisitions that we completed in the first quarter. EBITDA margin increased by 140 basis points versus the second quarter of 2021 and EBITDA margin increased by 200 basis points sequentially versus Q1. We expect continued strong results for the remainder of this year. We saw continued strength throughout the quarter in demand across the world with the exception of Shanghai lockdown impacts. Looking ahead, our planning assumptions and guidance are built on an expectation that demand will weaken, although we have yet to see signs of any meaningful slowdown in our underlying demand from customers. Raw materials remain tight and we expect continued raw material inflation in the third quarter. We are implementing pricing to more than offset raw material and delivery expense inflation. Now let me turn the call over to John Corkrean to review our second quarter results and our updated outlook in more detail based on these planning assumptions.
John Corkrean: Thanks, Jim. I will begin on slide five with some additional financial details on the second quarter. Net revenue was up 20% versus the same period last year. Currency had a negative impact of 4% and acquisitions had a positive impact of 2%. Adjusting for currency and acquisitions, organic revenue was up 22%, with volumes up 3.4% and pricing up 18.5%. All three GBUs had double-digit organic growth versus 2021, with HHC up 25%, Engineering Adhesives up 22% year-on-year and Construction Adhesives up 14%. Adjusted gross profit was up 16.4% year-on-year on solid volume growth and strong pricing gains. Adjusted selling, general and administrative expense was down 130 basis points as a percentage of revenue versus last year, resulting from volume leverage, pricing gains and good expense management, offset by higher variable compensation expense. Adjusted EBITDA for the quarter of $139 million was up 14% versus the same period last year and adjusted earnings per share of $1.11, increased 18%, driven by strong volume growth, pricing gains and good cost controls, offset by higher raw material costs. As expected, cash flow from operations was lower than the prior year, driven by higher working capital requirements due to increased sales, significantly higher raw material cost and extended lead times. Cash flow from operations of $8.5 million in the second quarter improved sequentially from the first quarter, as working capital as a percentage of annualized revenue improved 140 basis points to 17.1%. Working capital as a percentage of revenue is expected to decline to below 16% by fiscal 2022 year end, resulting in more normalized levels of cash flow generation for the remainder of the year. Regarding our outlook, we are affirming our adjusted EBITDA guidance range of $530 million to $550 million, reflecting double-digit EBITDA growth in each quarter this year. As a reminder, we have 53 weeks of business in this fiscal year, with the additional week in our fourth quarter. Based on the additional week and factoring in the normal seasonality of our business, we continue to expect about 29% of our full year EBITDA to be realized in Q4. Based on all of this, we continue to expect full year adjusted earnings per share to be in the range of $4.10 to $4.35, an increase of between 18% and 25% versus fiscal 2021. With that, I will turn the call back to Jim Owens for some closing comments.
Jim Owens: Thank you, John. H.B. Fuller’s financial results in the second quarter were exceptional and they built on a strong trend. Organic sales have increased by double-digit percentages in each of the last six quarters and quarterly EBITDA growth has averaged 15% over the same period. We achieved these results even with prolonged supply chain constraints, shortages of raw materials, significant economic impacts from COVID shutdowns and a war in Ukraine. We are on track to generate between 14% and 18% EBITDA growth in fiscal 2022 and we are confident in this outlook despite persistent inflationary pressures and projected slowing in some markets. Our momentum is a result of consistent execution of our strategy to grow our portfolio of highly specialized solutions, combined with our customer-focused business model, our rigorous business processes that have strengthened our operational agility and our global team of adhesive experts and colleagues who are dedicated to innovating and supporting our customer’s success. Our outlook for the remainder of this year is based on a pragmatic view of external factors, combined with momentum in margin management through pricing and market share gains achieved through innovation. As we discussed during our Investor Day in April, H.B. Fuller’s ability to provide critical adhesives and innovative solutions that the world needs is driving our growth, including our sizable portfolio of sustainability related innovation. The ability of our global team to gain share and consistently deliver outstanding operational execution has enabled us to deliver truly differentiated performance, both for our customers and for our shareholders. We are continuing to deliver strong business results regardless of the economic environment. In this organization, it is a priority to anticipate changes in the market and ensure that we are delivering growth for shareholders. You can rely on H.B. Fuller to deliver our commitments for the remainder of 2022, in 2023 and in the years ahead, as we navigate economic challenges. We are confident that our track record and our demonstrated capabilities to navigate external challenges differentiates H.B. Fuller as a strong investment opportunity for shareholders. That concludes our prepared remarks today. Operator, let’s move to the phone lines to take some questions.
Operator: [Operator Instructions] Your first question today comes from the line of Ghansham Panjabi with Baird. Your line is now open.
Matt Krueger: Hi. Good morning, Jim, John and Barbara. This is actually Matt Krueger sitting in for Ghansham. I guess, first one, Barbara…
Jim Owens: Good morning.
Matt Krueger: Barbara, I just want to send a special congratulations on your upcoming retirement from the team here at Baird. It’s obviously been a pleasure working with you and wishing you all the best moving forward. And my first question is understanding that you haven’t necessarily seen definitive signs of any specific slowdown across any of your businesses, what specific end markets do you expect to slow as we move into the second half of fiscal 2022 and maybe what signs or what caused you to bake this in the guidance if you haven’t necessarily seen the hard evidence quite yet?
Jim Owens: Yeah. So, yeah, we haven’t seen the hard evidence as I mentioned in the script and we have got four weeks into the quarter now and we are still seeing robust growth. Our volume stayed strong through the quarters. And if you excluded CA, our volumes actually in EA and HHC were up slightly in Q2 versus Q1. So we have really good [Indiscernible] share gain, it’s a lot of good robust momentum out there. I think the predictions that are out there that we will see some slowing certainly in new housing and some inflation related slowdown maybe in consumer goods in emerging markets, you also have a strengthening dollar that’s out there. But, Matt, I think at the end of the day, we decided that given all the noise out there that raising our guidance would be a bad idea in this kind of environment, right? So, but I would say, if you just looked at our results, saw and heard what we are seeing from the market, you would certainly feel very good about where the world is heading here in the next quarter or two. But the only place we are seeing a little bit of a slowdown would be U.S. and U.K. construction.
Matt Krueger: Okay. Great. That makes a lot of sense. And just following up, given the improving balance sheet flexibility for H.B. Fuller, can you update us on what your capital allocation priorities look like, with a specific emphasis, is it related to your thoughts on share buybacks in the current environment, is there any opportunity to be particularly opportunistic given higher rates that would be associated with any debt funded M&A or how does that change the equation?
Jim Owens: Yeah. Matt, we always have these same discussions at our Board level, right? I mean, the stock, clearly, if you look at our momentum and our performance relative to competitors, is undervalued. So I think it’s a fair question. We have said that two things, one, we want to try and get our debt to EBITDA ratio between 2 and 3. So we are not quite there yet. So we will probably be close to that at the end of this year. But we are not there because we have a lot of cash demands for working capital just because of inflation. We also have some small deals and the Apollo deal is a great deal and it’s turning out to really give us a lot of great synergies and there’s other small deals that are out there. So we are going to weigh those out. We have got -- John is doing some detailed analytics. But I would say, given where we are at today, I wouldn’t expect the share buyback in the short-term and even though we just think the stock is highly undervalued. John, do you want to add something to that?
John Corkrean: No. I think we laid out on Investor Day in terms of our capital allocation philosophy is still consistent. I think we made a comment about when we would consider share repurchase. I think we maybe had a question about that. But I think you summarized it very well, Jim.
Jim Owens: Yeah. We have a strategic view of our capital allocation and we are not going to try and overreact to the stock price on a day, so.
Matt Krueger: Okay. Great. Thanks. That’s it from me.
Jim Owens: Thanks, Matt.
Operator: Your next question comes from the line of Vincent Anderson with Stifel. Your line is now open.
Vincent Anderson: Yeah. Thanks. Good morning and again echoing my congratulations to Barbara. I will wait one more quarter to asking Jim about forward guidance. But can you remind us where you fit in the solar panels supply chain geographically and maybe more related to trade flow perspective, because if we really do start to see any impact from U.S. moves against Chinese solar import, how would that flow through your demand in that market?
Jim Owens: Yeah. So, yeah, I mean, as far as the solar -- well, first, as far as your first point about forward guidance. Strategically, we said we are committed to double-digit EBITDA growth and I don’t think we are backing off of that in any of these environments. We see if there is a slowdown, there’s a lot of the margin expansion for us. So we feel really good about the strategic targets we laid out and certainly as we start thinking about 2023. That’s our thinking and expectations internally, and I am sure, as you say, it will be a more detailed question next quarter as we get into the call. As far as solar is concerned, we have a very strong global footprint in terms of our positioning, though, as you point out, most of the market is in China. So we bought TONSAN. It was strong in this space. We leveraged it globally. It’s a global solar team. We have strong positions with all the -- especially with the players that are outside of China. So leveraging what was great technology into those players, some of them are producing in Southeast Asia, some here in the U.S. was a key strategic initiative of ours. So, yeah, I think, we are very well positioned based on the technology that we bought in China with suppliers outside of China. Although, I would say today, still most of the solar panels are produced in China.
Vincent Anderson: Okay. Maybe just a really quick follow-up on that. Have you gotten any overtures from your ex-Chinese customers in anticipation of some changes in the trade flows around this, something –akin to can you be ready if we were to expand capacity or move capacity out of China?
Jim Owens: Yeah. I think all of the solar panel producers that are producing outside of China are looking for materials outside of China and we have certainly done our work to be in a position to supply products outside of China. So we see that as a key competitive advantage. And for our customers, it’s a huge advantage, right? Most of the suppliers who supply to China market are doing it from a very strong China base. The fact that we are a global company with a Chinese business puts us in a really good position. So, I think, yeah, we have spent a lot of time preparing for that eventuality and as the expansions come on I think we will be really well positioned to gain share as some of the solar production comes out of China. How quickly that will happen? I guess, we will have to see, it’s an infrastructure issue to build that much capacity. But, yeah, we are in a very good position from that standpoint, Vincent.
Vincent Anderson: All right. Thanks. If I can treat those as 1A and 1B, I just wanted to dig in quickly on the Construction. I know you don’t like to dive too deep into volume versus price on the segment level, but I was wondering if maybe you could pull back the curtain a little bit more on Construction revenues this quarter from like a volume and mix contribution, particularly given the organic topline was a little lighter versus the other segments and versus the pricing initiatives on a companywide basis?
Jim Owens: Yeah. I would say, yeah, as I pointed out, right, so last quarter we did 6% volume growth. The volumes in Construction Adhesives were up significantly, because of demand and also because it was up against a weak quarter in Q1 as we pointed out and we also said it would be down. This quarter, it’s pretty flattish. So our EA and HHC volumes combined are actually better in Q2 than Q1. Say, it’s about 4% in both quarters and then the others, the CA now is flattish. Most of that shortfall, though, I will point out is not because of an underlying demand issue. When you talk to our customers, they are having shortages to get materials, roofing materials are tough to get, labor is tough to get. So what we hear from our outside of some residential, from all of our commercial customers is there is a lot of pent-up demand. But, yeah, the big difference in our volume numbers was CA between Q1 and Q2, so.
Vincent Anderson: Okay. No. That’s perfect. I appreciate it.
Jim Owens: Thanks.
Operator: Your next question comes from the line of Jeff Zekauskas with JPMorgan. Your line is now open.
Jeff Zekauskas: Thanks very much. I think you talked about after-tax charges of about $14 million in the quarter. How much of that was cash?
Jim Owens: So, Jeff, are you talking about after-tax charges that were excluded from non-GAAP?
Jeff Zekauskas: Exactly. Right.
Jim Owens: I would say, it was probably a little more than half. There were -- there was a -- there were a couple of large non-cash items in the quarter. The largest of which was about $3.3 million related to a Canadian pension wind down. It was non-cash. And then there were some tax related items that were non-cash. So mainly -- so a little more than half would be non-cash.
Jeff Zekauskas: And you spoke about more normal cash flow levels in the second half. By that, did you mean cash flow levels that were comparable to what your second half cash flows were last year or…
Jim Owens: Yeah.
Jeff Zekauskas: Or did you mean something else?
Jim Owens: No. That would be comparable to last year’s cash flow levels in the second half.
John Corkrean: Yeah. I think for the full year we are projecting cash flows to be similar to last year overall, Jeff.
Jim Owens: On an operating cash flow?
John Corkrean: On an operating cash flow.
Jeff Zekauskas: In the second half.
John Corkrean: For the whole. Yes.
Jeff Zekauskas: In the second half, because your first half cash flows are pretty neutral?
Jim Owens: Yeah. So it’s -- you are right, it’s…
Jeff Zekauskas: Yeah.
Jim Owens: Second half is always bigger, right? And you will see that…
Jeff Zekauskas: Yeah.
Jim Owens: … if you look back in the past years. Our projections would be that our full year operating cash flows will be similar in 2022 to 2021, right?
Jeff Zekauskas: All right. Okay. And then, lastly, can you talk about the economic climate in your major geographies? How is business in the U.S. versus business in Europe versus business in Asia and what are the trends?
Jim Owens: Yeah. I’d say business in the U.S. is very robust, as everybody sees, right, across the industrial space for lots of different reasons. And again, some of this has share gains in them, Jeff, so…
Jeff Zekauskas: Sure.
Jim Owens: … but really solid. Surprisingly, Europe’s organic numbers, when you take out currency, are very similar to the U.S., a little less, but still a lot of strength. For us, Europe includes the Middle East, Africa. We have got a strong team there, includes India. And then Asia is the weaker point, and I would say, you see that a little bit in Southeast Asia, we still had slight volume growth in China -- in Asia overall for the quarter, but we would have typically seen Asia way ahead. So it’s mostly an Asia phenomena, mostly China and that we see a slowdown. And then, I would say, Latin America is surprisingly still robust even in this inflationary environment.
Jeff Zekauskas: Is your China business up or down and what’s the trend look like there?
Jim Owens: It’s up and Q1 to Q2 it was flat, up by the same amount, I am sorry, up by the same amount and that was because of some share gains, offset by some of the impacts of the Shanghai situation and a little bit of slowdown in electronics because some customers couldn’t get semiconductors, again tied to the Shanghai shutdown. But, yeah, single-digit growth in China both first quarter and second quarter, right, single-digit volume growth.
Jeff Zekauskas: Yeah.
Jim Owens: Volume pricing.
Jeff Zekauskas: Yeah. Okay. Great. Thank you so much.
Jim Owens: Thanks, Jeff.
Operator: Your next question comes from the line of Eric Petrie with Citi. Your line is now open.
Eric Petrie: Hey. Good morning, Jim and John.
Jim Owens: Good morning, Eric.
Eric Petrie: On average, how much visibility do you have across your business order books? And typically, I would assume it’s longer in Engineering Adhesives being specked into those products, but any comments there?
Jim Owens: Yeah. As you know, Eric, our business is an annuity business. We get specked in one of those products for a long time. So we have a lot of visibility, I would say, and I think you have seen that in our ability to predict quarters ahead. So certainly into this quarter, we have great visibility across our businesses and for our new wins, we get to see the size of those. The one exception is where those big supply chain disruptions or a COVID shutdown, right? So that will change things. But we see very good visibility.
Eric Petrie: Okay. And secondly, I wanted to focus on two end markets in engineering, smartphone and auto production estimates continue to drop. So have you seen any impact there or are your share gains and pricing offsetting that?
Jim Owens: Yeah. So the smartphone market was impacted in Q2 by the semiconductor availability issue and a little bit some of the other shutdown issues. But we don’t see any underlying issues in that market and we do have some share gains to offset that. We see China auto markets being pretty positive right now. So, now again, some shutdown effects here in April and May, but there is a lot of incentives being put out there in China to -- because people didn’t buy cars and there was a lot of pull back. So we personally are seeing some uptick.
Eric Petrie: Thank you.
Jim Owens: Thank you, Eric.
Operator: Your next question comes from the line of Paretosh Misra with Berenberg. Your line is now open.
Paretosh Misra: Good morning, guys. Thanks for taking my question. So your overall EBITDA guidance is unchanged. Do you think your view on relative contribution of the three segments has changed in the last three months, and if so, what have been the big moving parts?
Jim Owens: Yeah. I don’t think there is a big change in the relative view of the three parts. I think the -- we understood what was happening in Construction. They are doing a great job of improving the margins. Volumes will get better here this quarter than what we saw in Q2 just based on what we see in the open order visibility. So, yeah, we feel good about that. Engineering Adhesives, especially the back half of the year is as China gets itself at least normalized and maybe even an uptick should be very strong in the consumer goods or appliance. So I don’t think we have any big changes. As I tried to point out, we see good solid demand and we also have, as we talked about at Investor Day, a lot of good gains in the market, right? I think you see that in our volume numbers, especially if you compare our volume numbers to our big competitors, you would see that our volume numbers are very robust and that’s because of these share gains. And I think, look at this quarter, right? It’s a 3% volume growth with China being pretty weak. I mean that’s pretty significant growth there.
Paretosh Misra: Yeah. Yeah. That makes sense. Thanks, Jim. And then maybe as a follow-up, can you talk about the inventory of your products, like how much inventory your customers are sitting on and is that typical for this point in the cycle, so any comments on that?
Jim Owens: Yeah. Yeah. It’s a little different than most cycles. I think you have got a mix. There’s definitely shortages out there. We have customers that are a little more hand to mouth and we would like in this environment and that’s driven by raw material availability. So we have some of that and we have others that probably have a standard kind of inventory level. But overall, maybe it nets out to neutral. We also have some situations, I mentioned it in the roofing business, where we have been able to supply our customers, but they are not able to get the materials they want. So, I think, when you net all that out, it’s sort of a normal level with some materials being lower inventories in the pipeline and others are probably a little higher.
Paretosh Misra: Thanks. Thanks, Jim.
Jim Owens: Thank you.
Operator: Your next question comes from the line of Mike Harrison with Seaport Research. Your line is now open.
Mike Harrison: Hi. Good morning.
Jim Owens: Good morning, Mike.
Mike Harrison: And best wishes to Barbara. I wanted to ask about the guidance and your expectation here that you will earn around 29% of EBITDA in Q4. If I do some math there, that implies something like, call it, $127 million to $137 million of EBITDA in Q3. You just talked about the strength that you are seeing through the first four weeks of the quarter, some recovery in China, expecting to keep pace on price cost. So help us understand why we might see quarterly EBITDA decline sequentially from the $139 million that you just reported?
Jim Owens: Yeah. So there is a normal seasonality, I think, Mike, that drives it. If you look at the long history and it’s tough to see last year because of pricing. Q3, just because of certain market dynamics, especially Europe is typically a little slower. So that’s a normal impact. I think if you look at the range you talked about, you are going to see something close to 20% EBITDA growth next quarter. And then if you take out the extra week, you will see maybe 15% the following quarter. I don’t know, I will have to go do the math. But I think if you factor out that extra week, it makes sense. And if you look at our long-term trends, Q2 and Q4 are generally our stronger volume quarters.
Mike Harrison: All right. And then, looking at the margins in the HHC segment and Engineering segment, I was comparing these margins to the second quarter of 2019 and it looks like HHC is essentially back to where it was in Q2 of 2019, but Engineering is still more than 300 basis points below where it was in Q2 2019. Both segments over that time have seen pretty similar topline growth. So I was wondering if you can explain that discrepancy between those two segments and maybe talk a little bit about the expected trajectory of Engineering Adhesives margin towards that 20% level that you have targeted at your Investor Day?
Jim Owens: Yeah. So, I think, you would definitely expect to see more margin expansion in EA especially as raw materials slow down. So I think the way to think of this, for the whole company, right, as inflation peaks and at some point slows down, you should expect to see sizable margin expansion and that’s across each one of our segments and more of that will happen in EA. So keeping EA at this 15% range will show some very nice natural expansion as raw materials come down. So, that would be fundamentally, I think, there is a little less opportunity to substitute, which we can do in HHC. That’s been happening in the last couple of years, substitute alternate raw materials and maybe some more aggressive pricing in certain segments where the EA pricing is extremely sticky. So we try and manage that in a controlled thoughtful approach. So it’s much better long-term sustainability of the margin growth. So I think the overall point, our long-term plan is to keep HHC in that 15%-ish range and to see EA up closer to 18% to 20% range. And I think as you look at where the world is now and you project out what might happen in 2023, I think, you will see us moving very much in that direction.
Mike Harrison: Just to be clear, when you talk about being a little more aggressive on pricing in EA, do you mean that you are pricing lower to capture more share or you are pricing pushing harder and…
Jim Owens: Yeah. I mean…
Mike Harrison: …actually?
Jim Owens: I mean pushing harder, right? So I think in HHC, we have some things that are a little more indexed and some areas where there’s been availability shortages that have driven more aggressive pricing.
Mike Harrison: All right. And then last quick question is for John. Just on the interest rate impact on your interest expense. Looking at your SEC filings, it looks like you guys have a lot of hedges in place and I think that makes it a little bit difficult to understand kind of what the underlying fixed float ratio is. So can you give us a sense of the impact of recent rate increases and maybe help us understand kind of when those hedges roll off and if things move from fixed to float, when could we start to see an impact on your interest expense?
John Corkrean: Right. I know your assumptions are right, Mike. We got probably about 35% to 40% of our debt is floating, so most of it is fixed through hedges. So and those hedges will expire, but we would not likely roll those and maintain the same level that is kind of fixed to floating rate debt. So even though we are mainly fixed, rising interest rates does have an impact, but that’s reflected in our interest rate guidance. I think we have held our $75 million to $80 million of interest expense for the year, which will probably moved from the lower end of that to the middle or higher end, but I don’t think will have a significant impact this year.
Mike Harrison: All right. Thanks very much.
Operator: Your next question comes from the line of David Begleiter with Deutsche Bank. Your line is now open.
David Begleiter: Thank you. Good morning.
Jim Owens: Good morning, David.
David Begleiter: If we do go into recession, how do you think your volumes will perform versus maybe prior downturns you have seen?
Jim Owens: Yeah. So, again, you follow the company a long time, David. I mean we do relatively -- extremely well relative to most companies in terms of volume, mostly because of the diversity of our business, right? So we have got a lot of products that are across different cycles. Certainly the consumer goods business has very limited impact. And all of that impact, if you look at our cash flow and our margins, gets us to a point where the EBITDA is generally up, even though we have downturns and cash flow expands and that’s because raw material prices come down. So I think going into a recession, a nice light recession would be perfect for us, but even a heavy, deep recession, I feel like we have shown in 2000, 2008, very good resilience in that environment. So and especially given how well we manage pricing and margins, I think, we would fare extremely well.
David Begleiter: Very good. And just on the share gains you have been talking about, can you quantify the impact in the first half of the year and what you expect for the full year?
Jim Owens: Yeah. It’s tough to say exactly what us versus the market. I can’t say that if I look at our volume growth in Q1 versus our two main competitors who report we have outperformed them by 7 points or 8 points, right? I wouldn’t say that seems high to me, but I just look at their published numbers. But 4%, 5%, 6%, I mean, we win a lot of share in each market and each -- I think you saw it on Investor Day, right? We are really focused on making certain that we innovate and win the new opportunities and that’s continuing. That’s core to our strategy. I mean, I think it’s core to our ability to fare through the last couple of years and will be core to our ability to fare in the next couple of years, innovating and solving those problems. So, but it’s certainly a few points of growth at a minimum.
David Begleiter: Very good. Thank you very much.
Jim Owens: Thanks, David.
Operator: [Operator Instructions] Your next question comes from the line of Rosemarie Morbelli with Morbelli & Co (sic) [Gabelli].
Rosemarie Morbelli: Thank you. Good morning, everyone…
Jim Owens: Good morning, Rosemarie.
Rosemarie Morbelli: …and congratulations also to Barbara. I will miss you, but -- and thank you for your help for all of those years. And of course, we welcome your replacement, whoever that may be. I don’t think, I may have missed the press release. In addition, so this being said, could you talk about, John or Jim, the SG&A ratio, which has now declined to slightly below 16% of sales. Is that sustainable or is it just during this environment that you are overly controlling expenses?
Jim Owens: Yeah. No. Well, at a very high level, I think, it’s a relatively sustainable level. As you know, Rosemarie, we don’t reduce prices on the back end of these increases. So I wouldn’t see a big reason for this to go in a different direction. John, you want to comment further?
John Corkrean: No. I think it’s sustainable. Yeah. I think that’s a target that we would expect to maintain and hopefully improve on.
Jim Owens: Yeah. And it’s part of our long-term strategy to get to those high-teens of EBITDA, right? So the back end of all this turmoil will have higher gross margins and lower SG&A as a percentage of revenue.
Rosemarie Morbelli: Okay. Thanks. And then looking at the industrial end markets, you made a few comments on electronics and the impact of the shortage of semiconductors, you talked about the auto that you are seeing improving in China. Are there any other particular -- other specific industrial end markets that I was talking about where the trends are different from the general trend?
Jim Owens: No. I mentioned Construction, new housing, which is a small part of our Construction. But, yeah, I think this electronics thing was the chip shortage there and the Shanghai COVID thing were the only things that were of any kind of mentionable impact here in the quarter and a little bit new housing construction.
Rosemarie Morbelli: And lastly, if I may, what is the percentage of your business in China as a percentage of total?
Jim Owens: Yeah. It’s about 13%.
Rosemarie Morbelli: Okay. Thank you very much and good luck for the next couple of quarters and beyond, of course.
Jim Owens: Thank you, Rosemarie.
Operator: There are no further questions at this time. Mr. Jim Owens, President and CEO, I turn the call back over to you. Please go ahead.
Jim Owens: Yeah. Thank you, Operator. And before I sign off, as mentioned by a few people, I’d like to extend a special thank you and a congratulations on a job really well done to Barbara Doyle. She will be retiring from H.B. Fuller in July and I also want to update you on Barbara’s successor. Barbara joined us in 2018. She has been able to apply a lot of experience and her reputation in the Investor Relations field to enhance and improve our Investor Relations approach at Fuller. We will miss Barbara’s energy, her professionalism, her sense of humor. But I think she just parts knowing that her works made H.B. Fuller a better Investor Relations program, much stronger than we joined -- when she joined. So on behalf of myself, all the people on the call who already spoke and everyone who touches Investor Relations, thanks, Barbara. I wish you great happiness in your retirement. So we are also -- you didn’t miss a press release, Rosemarie, but we are also excited to announce today that Steven Brazones will be rejoining H.B. Fuller as the Vice President of Investor Relations, replacing Barbara. Steven worked at H.B. Fuller from 2002 to 2014 in a number of different finance roles, including Assistant Treasurer, Business Unit Finance Director and the Head of Investor Relations. So, some of you may have met him. Most recently, he’s worked for a public company, Raven Industries as their CFO, as well as the General Manager of their Applied Technologies business. So we are excited about the opportunity for you to meet and get to know Steve, and he brings excellent experience, good knowledge of the company and great capabilities to the role. Finally, I really want to thank everyone for your participation in today’s call. Really appreciate your continued interest and your support of H.B. Fuller.
Operator: This concludes today’s conference call. Thank you for attending. You may now disconnect.